Operator: Good day, and welcome to the Sharecare Second Quarter 2023 Earnings Call and Webcast. All participants are in listen-only mode. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Today's call is being recorded and will be available on the company's website. On today's call, we have Mr. Jeff Arnold, Chairman and CEO; and Mr. Justin Ferrero, President and Chief Financial Officer; as well as Mr. Jaffry Mohammed, Chief Operating Officer, who will join for the question-and-answer session. Before we begin, we would like to remind you that certain statements made during this call will be forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, which includes statements regarding strategic initiatives, strategic cost saving, new capabilities, pipelines, and our guidance. These forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although, we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that will occur after this call. Descriptions of some of the factors that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC, including the Risk Factors section of our Form 10-K for the year ended December 31, 2022. In addition, please note that the company will be discussing certain non-GAAP financial measures that we believe are important in evaluating performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliation of historical non-GAAP financial measures can be found in the press release that is posted on the company's website. I would now like to hand the conference call over to Mr. Jeff Arnold. Jeff, please go ahead.
Jeff Arnold: Good morning and thank you for joining us today as we discuss Sharecare's Q2 2023 results. First, I want to briefly discuss the conclusion of our strategic review, which we announced on May 31. The Board came to the unanimous decision that our three business channels: enterprise, provider, and life sciences, complement one another with a depth and breadth of capabilities that together create a unique platform driven ecosystem built for scale. The strategic alignment of these businesses allows us to seize new growth opportunities and serve our expanding customer base and their needs more effectively, which I will highlight during today's comments. We continue to make significant progress this quarter, coming in at the high end of revenue guidance and exceeding the high end of our adjusted EBITDA guidance with a revenue of $110.4 million and adjusted EBITDA $3.8 million. Our strong financial results and expansion of our adjusted EBITDA margins this quarter have us on track to reach our goal of cash flow breakeven by year's end. We also continue to make progress with Carelon to integrate our respective complementary capabilities to bring efficiency, flexibility, and efficacy to our tech-enabled advocacy solution to scale to current and new health plan customers. The robustness of our high-tech, high-touch platform that delivers comprehensive care solutions was instrumental in our performance in the quarter, yielding 7% revenue growth for the enterprise channel compared to Q2 2022 and marking continued progress toward our full-year target of $12.9 million eligible lives across large employers, health systems, payers, TPAs, and government customers. Our integrated approach to care has proven successful enhancing user experiences, reducing costs, and measurably improving clinical outcomes across populations, whether people simply require a routine preventative care are managing high risk and chronic conditions. In fact, in a third-party evaluation of the effectiveness of Sharecare's disease management program for one of our leading health plan clients, we decreased annual costs for engaged members by 8%, primarily by lowering inpatient admission cost. We're also driving associated cost savings as measured by our value on investment approach by helping members reduce their risk across more than 40 lifestyle, biometric and prevention measures. As an example, based on research conducted with the UMC center for the business of health, we know that increasing movement among people who largely spend their day sitting carries with it a cost savings of approximately $475 per member per year as it reduces the risk of associated conditions that can show up later in claims cost. While we significantly impact risk reduction associated with sedentary lifestyle across our entire book of business, through our digital platform, digital therapeutics and lifestyle management coaching programs, we also continue to explore innovative and accessible ways to help employers encourage exercise among their workforces. A recent example, which launched earlier this year and uses the immersive power of virtual reality is our Get Active program and a customer pilot completed in the quarter, participants, all of whom classified as sedentary increased weekly moderate intensity activity from a baseline of 21 minutes to more than 181 minutes by the end of the program with 61% of respondents reporting having either more or much more energy than they did before Get Active. Our continued investments in generative AI technology capitalizing on our doc.ai acquisition and building digital connectivity to ingest clinical data are enhancing our offerings and improving our capabilities in creating longitudinal member records. We're able to generate personalized health insights derived from individual longitudinal and aggregated data, delivering more tailored engaging care solutions. Additionally, we're able to quickly identify health risks within customer populations and closed care gaps such as cancer screenings, medication adherence, and cardiovascular, and MSK related issues at scale a win-win for their organizations and their members. Within one of our large employer groups, we've identified hundreds of thousands of care gaps since the beginning of the year, and we continue to improve processes to enable our clinical advocates to quickly and efficiently close the most complicated and costly care gaps. We also have a unique advantage in being able to train our AI models with proprietary content from our award winning digital therapeutics. For example, our Unwinding Anxiety program has yielded a 67% reduction in anxiety corresponding to a 64% remission rate in randomized controlled trials compared to clinical care alone. This content can now be integrated and delivered through our generative AI model to seamlessly meet people where they are in their mental health journey. CareLinx Sharecare's home care solution with a Net Promoter Score of over 90 has also been a vital addition given no other advocacy provider has its own nationwide network of caregivers to offer a physical presence in the home. In fact, the convergence of our payer agnostic advocacy solution Sharecare Plus and CareLinx creates the opportunity to go deeper with all our members as our highly credentialed in-home caregivers bring the advantage of physical proximity and establish trust as well as deeper knowledge about the patient's needs and the ability to recommend the programs available to them across our ecosystem. Early feedback from one of our marquee employer clients who recently implemented CareLinx for their associates identified that their efforts to ease caregiver burden are resulting in a more productive and satisfied employees. At this employer, our professional caregivers have provided care to associates across a number of real world use cases, including people who require post-discharge and surgical transitional care, those who need extra in-home non-clinical support and employees who also are caregivers for a chronically ill adult. We have a growing pipeline for 2024 and 2025, and we not only assist with members unmet functional needs in the home, which drives trusted engagement, but also identify clinical complexity and social risk factors that can help address through our clinical advocacy services our third-party referral programs. In the case of one of our large health plan clients that leveraged our caregivers to drive engagement in the home, they saw 30% increase in completion of annual wellness visits and a 30% increase in completion of in-home clinical visits for risk adjustment. Capitalizing on these patient engagement capabilities and our in-home clinical expertise, we are poised to seize the opportunity to address the full set of healthcare quality metrics and standards by leveraging assets in our provider channel to create new and better risk adjustment and care gap closure models for the homecare market. These new models, which we plan to rollout in 2024 stand a greatly benefit Medicare Advantage plans by providing accurate and complete code capture and increasing their quality scores while driving improved outcomes for patients through prevention, screening, better chronic disease management, and addressing social determinants of health. Speaking of our provider channel, which is now delivering health insight and data solutions, and it's coming off a great first quarter, it performed better than ever in Q2, yielding 11% revenue growth compared to Q2 2022 and setting this up to meet our core KPI target for the full-year. The demand for medical records and clinical content from health plans continues to be a major driver for our growth and our provider pipeline shows significant promise. While maintaining a focus on historically strong markets such as provider practices and specialties, we're branching out into larger strategic health systems through RFPs and proactive targeting. To-date this year, we've already surpassed total RFP participation compared to all of 2022. Additionally, we're advancing our channel strategy through partnerships with several SOs and new agreements with revenue cycle management groups. The robustness of our audit business, the maturity of our new services, and the ARR close in Q2 bolster our confidence in achieving our 2023 provider goals. Sharecare's life science channel, which is continuing to evolve to offer broader, more robust customer activation and management solutions across the healthcare industry, was approximately flat for the quarter year-over-year as anticipated. While it was our slowest growing channel this quarter, it's important to note that this occurred during an industry-wide decline of 27% in digital ad spending by pharmaceutical companies according to Nielsen data. Recently, the channel launched it's 2024 go-to-market offerings featuring four unique and high impact digital solutions for clients and expanded its reach through new collaborations to sell point-of-care inventory across Labcorp's onsite testing and diagnostic facilities. As we continue to maximize the integrated assets across our channels, we are working on several new opportunities, including leveraging life science's proven activation capabilities and 100 million person zero party database to market the direct to consumer offerings of CareLinx for non-medical supported home and a new solution that's in development, the RealAge Longevity program. Given the momentum and efficacy around the GLP-1 drugs, the RealAge Longevity program leverages our assets reach and expertise to provide a comprehensive framework for managing GLP-1 medication costs through utilization management, ensuring treatment adherence, and balancing financial efficiencies with improved health outcomes. A key component of this offering is our weight loss program Eat Right Now, which is scientifically proven to reduce craving related eating by 40% and take a mindfulness-based whole human approach, the foster sustainable positive eating habits that stick over time. Our strategic direction unique ecosystem, which creates valuable cross-sell opportunities and proven commitment to manage cost, coupled with our strong financial performance in Q2, signal a promising future for Sharecare. We extend our gratitude to our shareholders, partners, and the dedicated Sharecare team for their support. And at this time, I'd like to hand the call over to our CFO, Justin Ferrero, who will delve deeper into the financial details.
Justin Ferrero: Thank you, Jeff. We reported strong second quarter results with revenue of $110.4 million, which is the high end of our guidance and represents year-over-year growth of 6.3%, and adjusted EBITDA of $3.8 million, which exceeded the high end of our guidance. Notably, our adjusted EBITDA margin of 3.5% is a 90% improvement over the previous quarter, as well as an approximate 70% improvement over the same period last year. Our growth was driven by an increase in eligible lives on our platform and our enterprise channel, as well as an increase in records processed in the provider channel. We are on track to achieve our core year-end KPIs in both channels, which are 12.9 million eligible lives and 6.5 million records processed. As Jeff mentioned earlier, our provider channel set another quarterly revenue record in Q2 and despite ongoing market pressure, life sciences Q2 revenue was approximately flat year-over-year, which was consistent with our expectations. Our financial health remains strong. We ended the second quarter with a cash balance of $144 million and approximately $200 million in available liquidity. Our commitment to efficient financial management is further evidenced by our cash flow, which showed significant improvement from the last quarter, reporting a $7.7 million burn this quarter, excluding the impact of the stock buyback compared to $28 million burn in Q1. Our dedication to achieving cash flow breakeven by the end of the year remains a core focus, and this quarter's results underpin that commitment. Regarding our previously announced stock repurchase program, to-date we have bought back 2.5 million worth of shares in the open market, leaving us with $47.5 million remaining under the current authorization. We will continue to evaluate our capital allocation strategy, but strongly believe our stock price currently does not represent the intrinsic value of our business. As we look to Q3, we expect to generate revenue within the range of $111 million to $113 million. Our adjusted EBITDA guidance for Q3 is $8 million to $10 million, which represents over 100% increase in adjusted EBITDA over Q2 of this year, and there are several key drivers behind our expected adjusted EBITDA improvement. First, in the enterprise channel, we continue to automate several back office functional areas that are driving improved margins. Additionally, we have non-technology related costs that have been strategically reduced without impacting customer facing operations. In our provider channel, which continues to deliver record top-line results, the third quarter is historically the strongest quarter of the year, as we process a large volume of Medicare Advantage risk adjustment audit-related charge. Additionally, our previously discussed globalization efforts continue to progress resulting in improved margins. In life sciences, Q3 is a historically stronger quarter relative to Q2 and our current campaign activity anticipate similar growth this year. More broadly speaking, while our business will continue to have some channel level seasonality going forward, Q3's expected adjusted EBITDA is indicative of the emerging underlying earnings power of Sharecare, driven in part by our $30 million annualized cost savings initiative, which we are on track to achieve by the end of 2023. In summary, I'm pleased with our strong second quarter expanding adjusted EBITDA margins, improved cash burn, and the strength of our balance sheet. We want to reiterate our full-year revenue guidance of between $452.5 million and $460 million and full-year adjusted EBITDA guidance of $25 million to $30 million. Your continued support is greatly appreciated. We're now ready to take your questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question comes from David Larsen of BTIG. Please go ahead.
David Larsen: Hi, congratulations on the good quarter. I like the beats in revenue and EBITDA, so good quarter, congrats. Can you talk a bit about the enterprise division and growth in lives there? I think last quarter you'd mentioned, signing up 275,000 lives, those will impact 2024, just any color there. And then you've mentioned care gap closures a couple of times. Are you generating revenue with each care gap closure and are you recording those for the health plans? And how do you sort of report that back? Just any color there would be very helpful. Thank you.
JustinFerrero: Hey David, it's Justin. Thanks for the question and we're excited about the quarter. On the -- I'll take the first question on the eligible lives. The -- that's correct. We did add over 250,000 in Q1 and we talked about our excitement because we thought that we'd meet or exceed that number in Q2 and we have done that so had great addition to eligible lives. We expect those to come on towards the end of the year or one-one we're working through that with the customer now, but it was a great quarter and adding eligible lives to the platform and if I talked about in the script, we're tracking to achieve our core KPI this year of $12.9 million.
Jaffry Mohammed: And David regarding the care gap closure that Jeff talked about this is primarily for our commercial group where we have sold high dollar PMPM, which includes the overall care and disease management program. So we are not charging them on per care gap part, but it is part of a total PMPM.
David Larsen: So I think it was a little bit difficult to hear you, I think you said that the care gap closure program is part of the $5 PMPM rate and that you track that data, you report it back to the plan, is that part of Sharecare Plus the $5 PMPM rate?
Jaffry Mohammed: Yes. So David, I did not said $5. I said high dollar, it's a higher dollar PMPM, yes. But that's the part of a total, right.
David Larsen: And the care gap closures is part of Sharecare Plus or is that part of Sharecare legacy?
Jaffry Mohammed: It is part of Sharecare Plus.
David Larsen: Okay. So what I'm hearing is there's good uptake in Sharecare Plus. All right. And then without getting too specific, obviously, can you maybe talk a little bit about your relationship with Enliven? I think there was a client through Enliven that you were working with them; they basically transitioned to the lower cost Sharecare product. What are the odds of them sort of coming back to the higher cost Sharecare Plus solution in 2024 or 2025, any thoughts there?
Jeff Arnold: Well, I think overall, we're pleased with the Carelon partnership as we continue to integrate and sell together. We've added another health plan since our go live with Carelon and we do believe there is an opportunity to increase the number of services that we're offering, the one customer that you're referring to and we're in active conversations around that.
David Larsen: Okay. That's very helpful. And then, just can you maybe talk a little bit about the sort of EBITDA expectations? I mean, obviously, you're looking at a potentially very significant increase in EBITDA in 3Q and 4Q, just any color or thoughts there? I mean, I always quite frankly, get a little bit worried when we talk about offshoring jobs, just any -- what sort of additional detail can you provide, please? Thank you.
Jeff Arnold: Yes. We're incredibly pleased with the progress that we've made and our optimization efforts and the majority of that work is already behind us as we sit here in August. And Justin, I don't know if you want to give any additional color to that.
Justin Ferrero: Yes. So two things, Dave is, we're going to achieve, as I said in the opening remarks, the $30 million in savings this year. But that EBITDA expansion isn't just from driving efficiencies around cost, it's all around top-line growth as well. And we've spoken historically about Q3 being the largest quarter historically for our provider channel Q4 is always the largest quarter on the provider -- on the life sciences business. And then I touched on it in the opening remarks that life science sequentially grows from Q2 to Q3. So it's really a combination of driving top-line growth across our channels as well as at the same time realizing the LION's share of the benefits of all that optimization work that we've done from year-to-date. The majority of that is going to hit our bottom line in the second half of the year. So it gives us really good confidence in achieving the targets for this year.
David Larsen: Okay. And then, for CareLinx, is there any reason why CareLinx could not be expanded into other plans beyond Medicare Advantage? It seems to me like there'd be a huge need across commercial plans, Medicaid plans, employer groups, like just any thoughts on the growth there, please?
Jeff Arnold: I think we're in active conversations across all those channels. We had a good success story that I mentioned in my script with one of our large employers on the commercial side utilizing CareLinx as an employee benefit. We've expanded beyond our one large pair into our first Blues plan and we're in active conversations with MA with Medicaid and with health systems. Do you want to add anything that Jaffry?
Jaffry Mohammed: Okay. Yes. The one thing I'll add David is our hospital readmission program very well received by lot of risk takers that include the ACOs and health system. So as Jeff said, I mean the GTM that we have the go-to-market plan for CareLinx include all the channels that you mentioned.
David Larsen: Okay. And then just one more for me and I'll hop back in the queue. Jeff, I liked hearing about all of the sort of cost savings data that Sharecare is providing to customers. I mean, is this something that you're -- you can bear risk on? Are you driving any revenue based on the amount of cost savings you can deliver to certain health plan clients? And I think you had talked about a white paper that you were going to publish. Just any additional color or thoughts that would be helpful?
Jeff Arnold: Yes. I think we're having increased visibility with our data with our clients as we work with them more over time. So we're collecting lots of data and we're driving insights from that data and sharing it with our clients, which is giving us confidence in how to price. And today, we're doing that through PGs, performance guarantees. But we see us moving more towards risk, measured risk over time, but it's working very well kind of as we had hoped is get confidence in the data, generate the insight, deliver the capability and move from performance guarantees to more at-risk models. And that's a constant conversation that we have with our clients as we see evolving with them over time.
David Larsen: Okay. And then I'm sorry, just one more from me. Can you comment on the competitive environment, like I mean, I'm thinking about American well, in particular, they have their converge platform Elevance is one of their largest customers. I mean just who are you bumping into if anybody in your largest customers? And it's my understanding that you power Sydney for Elevance, which I think would give you a huge sort of competitive advantage. Just any thoughts or color on the overall market?
Jeff Arnold: Yes. Yes, I would say in the overall market is it's competitive. But we are well diversified. So as you know, we work with large health plans and we work hard every day to drive value for Carelon and Elevance as one example, but other plans as well. We have several large employer clients, as you know, and we've invested kind of heavily in sales to kind of increase our RFPs. We've invested in government and we have some good success stories there with the state of Georgia and others. We have health systems, which we're starting to do some really effective cross-selling in and turning health system clients into enterprise clients for their employees. We've started to add TPAs this quarter, which we see as a big growth area for us. And so I think the diversification of Sharecare helps us a lot. So we can go-to-market with a Carelon or we can go direct through our sales force or we can cross-sell. And so it's given us a lot of that best that, that help us in a competitive market.
David Larsen: Okay. Congrats on the good quarter. I'll hop back in the queue. Thank you.
Jeff Arnold: Thank you.
Operator: The next question comes from Eric Percher of Nephron Research. Please go ahead.
Eric Percher: Thank you. To start on the enterprise side, good to hear about the live additions. Could you speak a little bit about development of the marketplace and maybe as we think about lives ex-Carelon, what are you're seeing among the Blues targets for the year and whether it's keeping pace with expectation?
Jeff Arnold: Well, I think on -- on covered lives, it's -- we're keeping pace with expectations, so selling through our partners like Carelon is meeting expectations. Our sales force delivering new logos is meeting expectations. A continued focus on the Blues plan and we've added a new Blues plan this year continues to be on mark. So all those things are progressing as plan. As the marketplace goes, we're having success in upselling our digital therapeutics to our installed base. And we're leading with our owned solutions, which give us higher margin and more revenue. And so we're starting to see some good pull through in that area as well.
Jaffry Mohammed: Yes. Also our partnership with Carelon where we are jointly selling the market that you mentioned is tracking very well.
Eric Percher: Okay. So that seems to be an important factor. You mentioned your own offerings and you mentioned GLP-1s, which it seems to be the hot topic this earning season. Can you give us a little bit more on what you've done there with RealAge and what management looks like for you beyond that?
Jeff Arnold: Well, yes. We've done a lot of work in the GLP-1 space since we last talked of understanding on our clients of should this be a managed service or what's the cost if it goes unmanaged. And then what are the unique assets that Sharecare has that it could marry with a GLP medication so that you could get sustained results. And so we already have our RealAge program that is then distributed to 13 million covered lives. And so people have their RealAge program and we already have a CDC approved weight loss program in Eat Right Now that came from our MindSciences acquisition. That's all based on mindfulness and how to curb cravings. We have obviously Sharecare Plus and our advocates that can help with insurance companies. And so we're packaging all that together and creating a B2B offering that we're going to launch in January of next year to our enterprise clients.
Eric Percher: Interesting. And do you partner to the life sciences part of the market here as well?
Jeff Arnold: Well, yes. So we're doing a lot of research right now on once we've developed this solution for B2B, which is the combination of RealAge Eat Right Now, our advocates and some incentive strategies is would that be an interesting life science offering as well. And as you know, we have a zero party database of over 100 million people. It's kind of the power of what powers our life science business and many would qualify and the demand is obviously quite high. And so we're thinking through different life science offerings for not only enterprise but direct to consumer.
Eric Percher: Is there any historical analog that's been similar? I kind of think back to the hep C products that are quite different. Have you ever seen a launch that got this type of employer interest, payer interest?
Jeff Arnold: Our demands off start, it's -- I can't think of anything off the top of my head. I mean, the demand is massive. And so you've got all -- you've got massive consumer demand, you have obviously a cost issue then you have this is a forever drug, and so you need behavior change programs with it. And so we're excited about it. I mean, we have -- as I said, we've got the RealAge program. We have a perfect weight loss solution in Eat Right Now. We've got the infrastructure with the advocates. And so we're just thinking through how do we package and price the offering and how can we get to market by Q1.
Eric Percher: Yes. And I guess my question is a little bit more of have you done this before in other categories where a new product, obviously the opportunities larger here, but is there a good example of having executed on this before?
Justin Ferrero: Well, I mean, I would just add one is, when we launched advocacy, we went from essentially zero lives to close to 1 million, and that has to be one of the larger more successful launches. We are very happy customers in that. That's --
Jeff Arnold: Probably remain.
Justin Ferrero: Yes. That's not an easy task. We weren't in that business this time last year and we have close to million lives on our advocacy platform today and very happy customers.
Jeff Arnold: Yes. And doing the crossover sell is like; we know how to do that between enterprise and life sciences. So for example, our Eat Right Now, our Unwinding Anxiety is both B2B and B2C. And this quarter we launched CareLinx, we launched CareLinx B2B and B2C. So we're using life sciences now to promote CareLinx direct to consumer, similar to what we've done with MindSciences.
Eric Percher: Great. And my other question was on the life sciences business, and Jeff, you've obviously seen a few cycles. I'd love to get your view on the macro trend here and what enables you to put up a flat and a down market, and then Justin, understanding we're going to see a -- an increase in Q3, Q4 is typically that seasonally large quarter. How does this what you've seen year-to-date make you feel about Q4?
Justin Ferrero: So I can -- I'll start with that is that we're number one, as I talked about for Q3 is, we're going to see growth from Q2 to Q3, and that's -- it's not trivial growth. So we're bullish as we sit here today. At the outset of the year, we were conservative in our guide, right? And so we think we factored in most of a year that we were anticipating headwinds. But there could be more pressure. Again, we talk about it a lot, but we don't really know until we get into the quarter, we're confident that there'll be growth in Q4 and it's just a matter of how much, but we know that sequentially we're going to grow into Q3 and into Q4 and if we -- do we hit the target exactly, I'm not sure, but we feel very confident in our range across our business for the year, which is why we reiterated guidance today.
Eric Percher: Got you.
Jeff Arnold: Yes. And I would just say the quality of the execution of campaigns year-to-date has been very strong. And again, how we differentiate is our zero party 100 million person database. So we're our -- we're pretty precise on our targeting. But just to answer your question, I mean, what gives us the confidence is the quality of our execution of campaigns to-date. So we think the customers will be there in the second half of the year for us.
Eric Percher: Yes. I hear you on that's how you outperform the market. But Jeff, what is your perspective on the overall market? And do you expect this downturn to -- do you have a view on duration?
Jeff Arnold: I'm hoping that 2024 is stronger than what the last two years have been. So -- but we're watching it carefully and we're adjusting our products and our mix to be able to succeed in current conditions. But we're hopeful with the GLP-1s and others that, that there'll be some new opportunities.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over Mr. Jeff Arnold for any closing remarks.
Jeff Arnold: Well, thank you. In closing, I want to reiterate that we're very pleased with our financial performance this quarter. I'd also like to take a moment to reinforce the fact that we are confident in Sharecare today and into the future and remain committed to maximizing shareholder value. We're confident on our strategic direction and our products and solutions and in our pipeline. We're confident in our team and our ability to maximize the opportunities before us optimize efficiencies and manage expenses responsibly. We appreciate your time and interest this morning, and thank you. Have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect.